Operator: Good day, ladies and gentlemen, and welcome to the Matson First Quarter 2018 Financial Results Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to introduce your host for today's conference Mr. Lee Fishman. You may begin, Sir.
Lee Fishman: Thank you, Kevin. Joining me on the call today are Matt Cox, Chairman and Chief Executive Officer; and Joel Wine, Senior Vice President and Chief Financial Officer. Slides from this presentation are available for download at our website, www.matson.com, under the Investors tab. Before we begin, I would like to remind you that during the course of this call, we will make forward-looking statements within the meaning of the federal securities laws regarding expectations, predictions, projections or future events. We believe that our expectations and assumptions are reasonable. We caution you to consider the risk factors that could cause actual results to differ materially from those in the forward-looking statements in the press release, the presentation slides and this conference call. These risk factors are described in our press release and are more fully detailed under the caption Risk Factors on pages 13 to 21 of our 2017 Form 10-K filed on February 23, 2018, and in our subsequent filings with the SEC. Please also note that the date of this conference call is May 1, 2018, and any forward-looking statements that we make today are based on assumptions as of this date. We undertake no obligation to update these forward-looking statements. I will now turn the call over to Matt.
Matt Cox: Thanks, Lee, and thanks to those on the call. Please turn to Slide 3 for my opening remarks. Matson had a good quarter with both operating segments performing ahead of our expectations. Ocean Transportation’s year-over-year improvement was due primarily to lower vessel operating costs, a higher contribution from SSAT, higher volume in our Alaska service and the favorable timing of fuel surcharge collections. Offsetting these positive contributions were lower volume in China and a lower contribution from Guam. Our logistics segment saw improved performance in almost all of its service lines. In the quarter, we earned net income of $14.2 million or $0.33 per share compared with $7 million or $0.16 per share in the year-ago period. We generated EBITDA of $62.1 million in the quarter versus $52.3 million in the first quarter of last year. On the operational front, our new vessel build program remains on track. We continue to expect the Daniel K. Inouye to be in service in the third quarter and the remaining three newbuilds are progressing well. Moving on to the outlook for 2018. Based on the performance of both operating segments in the first quarter, we're raising our outlook for the year. We now expect consolidated operating income to be modestly higher than the level achieved in 2017. We expect to face continued competitive pressure in Guam and modestly lower volume in China coming off an exceptionally strong year, offset by modest improvements in our other core businesses. For the second quarter 2018, we expect Ocean Transportation operating income to approach the level achieved in the second quarter last year and logistics operating income to be moderately higher than the level achieved in the prior-year period. And, Joel will go into more detail on the financials and outlook later in the presentation. Now we'll move on to our trade-lane services. Turning to our Hawaii service on Slide 4. Despite a modest uptick in economic conditions and stable market share, our Hawaii container volume declined 1.9% year-over-year. The decline in volume was primarily due to lower eastbound or return volume, which we view as an anomaly and not a trend. We also had a westbound sailing at the end of the first quarter that was pushed into the second quarter. Our core westbound service would have increased modestly year-over-year in the quarter if this sailing was included. Construction related volumes were relatively flat year-over-year as the transition in construction activity on Oahu from large condo developments to master-planned communities progresses. So, we feel the core westbound market has flattened out, which is consistent with our total volume expectations for 2018 where we see flat-to-modest volume growth. Our volume growth expectation reflect continued economic strength in Hawaii and a stable market share environment. Slide 5 provides an overview of some key Hawaii economic indicators forecast by UHERO for 2018 and beyond. According to the latest forecast, UHERO expects a short-term pickup in real GDP growth, driven largely by tourism activity including the effects of Federal Tax Cuts on discretionary spending and favorable global economic conditions. The economic growth trend is also well supported by relatively low inflation and low unemployment. With respect to construction industry, activities flattened as projects working towards completion are offset by new projects breaking ground. UHERO's construction related metrics suggest an improvement in activity in 2018 versus the prior forecast but maintain the view of flattish growth in the medium term. Based on the recent economic data and our conversations with developers, we continue to take a cautious view on the trend in construction activity in 2018, which is we don't foresee any meaningful pickup in construction related volumes in the near term. Moving on to our China Service on Slide 6. Matson's volume in the first quarter of 2018 was 22.2% lower year-over-year. Nearly two thirds of the decline was due to two fewer sailings in the quarter. We had a sailing at the end of the first quarter 2018 that was pushed into April and there was a dry-dock return voyage in the year-ago period. We also saw lower volume during the Lunar New Year period this year versus last. Despite the downward trend in the SCFI during the quarter, we experienced a higher quarterly eastbound average rate versus the first quarter 2017. For 2018, we expect transpacific capacity to increase in excess of demand, which is likely to lead the softness in the SCFI. Despite this macro backdrop, we expect demand for Matson's highly differentiated expedited service to remain relatively strong with an average freight rate that approximates the favorable level we achieved in 2017. This view includes the effect of the annual contract renewals season, which recently concluded with pricing as we expected. Volume for 2018 is expected to be modestly lower than the exceptional level we achieved last year, largely due to the negative comparison for the dry-dock return voyage volume in 2017. We expect our CLECs vessels to be full for the rest of the year as time sensitive supply chains ramp up to fulfill seasonal inventory demands. I also like to note that our outlook for the China service does not account for any risks and uncertainties that could arise from a trade war between China and the United States. Just like you, we are in a wait-and-see mode with respect to the trade policies that are formally implemented by either country. To a lesser extent, this cautionary note would also apply to the outlook for SSAT, given it's direct ties to the trade flow between the two countries. Turning to Slide 7. As expected, Matson's Guam volume in the first quarter declined 9.3% year-over-year primarily due to further competitive losses to APL. The overall container market was essentially flat year-over-year. Our strategy in 2018 is to continue to fight to retain every single container of our customer’s business. Given our long history of service in Guam, the strong customer ties, superior transit times and a dramatically better on-time performance record, we expect to retain an outsized share of the market. Moving now to Slide 8. In Alaska, Matson's container volume for the first quarter of 2018 was 10.1% higher year-over-year primarily due to increased northbound volume and that is primarily attributable to volume from a TOTE dry-dock period in one of its vessels that put and a sailing that pushed volume from the fourth quarter 2017 into the first quarter of 2018. Excluding the TOTE volume and adjusting for the extra sailing in the quarter, we saw a modest increase in volume compared to the first quarter of 2017. We're beginning to see some signs that Alaska's economy is beginning to stabilize but await further data confirm that bottom in the recession has occurred. For 2018, we expect volume to be modestly higher than the level achieved in 2017 with improvement in northbound volume to be partially offset by lower southbound seafood-related volume due to a moderation from the very strong seafood harvest levels in 2017. Turning next to Slide 9, our terminal joint venture SSAT contributed $10.5 million in the first quarter of 2018 compared to $4.9 million in the prior-year period. Nearly half of the increase year-over-year was attributable to higher lift volume with the remainder related to one-time items. The majority of the one-time items are due to the dissolution of the SSA partnership involving Pier A in Long Beach. The dissolution was to effect in ownership change with a new partnership created to reflect SSA Terminals as the sole owner. Given the better-than-expected performance and the one-time beneficial items in the first quarter of 2018, we now expect SSAT's contribution in 2018 to our Ocean Transportation operating income to be higher than the level achieved in 2017. We expect SSAT to continue to benefit from the launch of new global shipping alliances as container flows and supply chains are adjusted between the West Coast terminals. Turning now to Logistics on Slide 10. Operating income in the first quarter 2018 came in well ahead of expectations as the contribution of $4.2 million was $2.3 million greater than a result in the prior year period. We saw improved performance across almost all of our service lines. Our transportation brokerage business performed well, primarily due to the well-documented tightness in the trucking market, which plays to Matson Logistics’ strength in customer service. And Span Alaska showed meaningful improvement relative to the prior-year period as the Alaska economy shows early signs of stabilizing. Given the Logistics performance in the first quarter, we're raising our outlook for operating income in 2018 to increase moderately from the $20.6 million achieved in 2017. And for the second quarter of 2018, we expect Logistics operating income to be moderately higher than the level achieved in the second quarter of 2017. And I will now turn the call over to Joel for a review of our performance and our outlook. Joel?
Joel Wine: Thanks, Matt. Turning to our financial results on Slide 11. Ocean Transportation operating income for the quarter increased $9.2 million year-over-year in the first quarter to $24.5 million. The increase was primarily due to favorable timing of fuel surcharge collections, lower vessel operating costs, a higher contribution from SSAT and higher Alaska volume. Partially offsetting these favorable year-over-year comparisons were lower volume in China, lower revenue in Guam and higher terminal handling costs. The company's SSAT joint venture contribution increased by $4.9 million year-over-year with the increase nearly equally attributable to improved lift volume and one-time items. Logistics operating income for the quarter was meaningfully higher at $4.2 million versus $1.9 million in the prior-year period. The increase was due primarily to higher contributions from highway brokerage and freight forwarding. EBITDA for the quarter increased $9.8 million year-over-year to $62.1 million due to higher consolidated operating income of $11.5 million and a favorable increase in other income of $1.6 million, partially offset by a reduction of $3.3 million in depreciation and amortization including dry-docking amortization. Before moving on, I wanted to spend a minute on the effective tax rate in the period as it was higher than expected due to a noncash tax adjustment of $3.3 million resulting from guidance released in late March regarding reductions in expected AMT refunds receivable under the Tax Cuts and Jobs Act and other tax legislation. Adjusting for this one-time item, the effective tax rate for the quarter would have been 28.6%. This tax expense item reduced diluted earnings per share in the quarter by $0.08. Turning to Slide 12 for a summary of our balance sheet, you will note that our total debt at the end of the quarter was $903.6 million and our net debt-to-LTM EBITDA ratio was 2.9 times based on LTM EBITDA of $305.8 million. Slide 13 shows a summary of the manner in which we allocated our cash flow generation. For the LTM period, we generated cash flow from operations of $250.8 million, undertook net borrowings of $123.3 million and withdrew $30.3 million from the capital construction fund from which we used $45.2 million on maintenance capital expenditures, $308 million on new vessel CapEx including capitalized interest and owners items and $3.8 million on other cash flow items while also returning $52.8 million to shareholders via dividends and share repurchases. While we expect leverage to increase as our Hawaii fleet renewal program progresses, our healthy balance sheet, strong operating cash flows and continued access to attractive financing sources provide ample capacity to fund new vessel construction, consider growth investments and return capital to shareholders. Turning to Slide 14 for a review of our new vessel payments. For the first quarter, we had new vessel cash capital expenditures of $54 million and capitalized interest of $3.7 million for total capitalized vessel construction expenditures of $57.7 million. The percent of completion on the four new vessels as of quarter-end, an updated as of the end of – as of currently today is noted in the chart on the Slide. The Daniel K. Inouye is 91% complete and the Kaimana Hila is in the graving dock and is 53% complete. As you can see, the Kanaloa Class vessels are in the early stages of construction as NASSCO just cut the first steel on the second of the two shifts, the Matsonia about a month ago on April 2 at the yard in San Diego. For the full year 2018, we estimate new vessel progress payments of approximately $345 million, which excludes owners’ items and capitalized interest. In our last earnings call presentation, we showed estimated new vessel progress payments for 2018 of $389 million. The material difference is result of milestone payment that was recently moved from the end of 2018 into early 2019. The milestone payment schedules that we report to you quarterly reflect the most recent information we have from the shipyards, regarding the magnitude and timing of payments and are subject to change based upon the construction activity at the yard. Lastly, based on current interest rates, we currently project capitalized interest in 2018 to be approximately $17 million. With that, let me now turn to Slide 15 to discuss our full year outlook. Based on the good performance of both operating segments in the first quarter, and the positive outlook trends we have noted on this call, we have raised our full year outlook. For the year, we now expect Ocean Transportation operating income to be modestly higher than the $128.8 million in 2017 and Logistics operating income to increase moderately compared to the $20.6 million achieved in 2017. We expect depreciation and amortization to decline to approximately $132 million, which is inclusive of approximately $36 million in dry-docking amortization. The company expects interest expense in the P&L to be approximately $23 million and lastly for the remaining three quarters of the year, we expect an effective tax rate of approximately 28%. For the second quarter of 2018, we expect Ocean Transportation operating income to approach the level achieved in the year-ago period. And for logistics, we expect the operating income to be moderately higher than the level achieved in the second quarter last year. Lastly, on our last earnings call in February, we commented on the expected seasonality impacts in 2018 related to the fuel surcharge collections in the prior-year period. We want to reiterate that in 2017, we had relatively strong fuel surcharge collections in the third and fourth quarters. So year-over-year comparisons in the second half of 2018 should consider this timing of the fuel surcharge collections in the prior-year periods. I will now turn the call back over to Matt for his final remarks.
Matt Cox: Thanks Joel. We continue to be pleased with the financial benefits from a geographically and operationally diverse set of transportation and logistics services, a result of our efforts to expand organically through selective acquisitions. We remain intensely focused on cash flow generation and managing our leverage as we near the midway point of our new vessel built program and progress on Sand Island crane investments this year. Without a doubt, 2018 will be a busy year for us and I think we're off to a good start. And with that, I will turn the call back to the operator and ask for your questions. Operator?
Operator: [Operator Instructions] Our first question comes from Jack Atkins with Stephens.
Andrew Hall: Hi, guys. This is actually Andrew on for Jack. Congrats on a good quarter to start with. Matt, I think you mentioned during your prepared comments that the contractual rates in the CLX business, it came in as expected. Hoping you could provide maybe a little bit of color there and maybe direction from those rates from a year-over-year perspective?
Matt Cox: Andrew, I can. Yes, and thanks for the comment on the quarter. As you know the contract cycle runs from May 1 – April 30 to May 1, so today is really to see end of the formal contract period. We have about 100 contracts. We have all but one or two that are finished and the way we're seeing it is that each of the contracts that we've signed and expect to sign will show a modest increase year-over-year. And that contracts with the market where we saw either what we're understanding is either a flat that is an extension of the contract with no increase but in the number of cases an actual reduction year-over-year. And so that came – that was about what we expected as I said in my comments and it came in about exactly where we expected for us. And so that's positive. I think – of course every year, the spot market is quite different and has its own set of dynamics but we continue to expect that the spot market will increase as we go in – to look like sort of a traditional year. We note the SCFI while it was lower, heads taken some very significant increases just in the last week or two. And so we're hopeful that will turn into a more traditional, at least on the spot market side, market between now and through the peak season. So those are our expectations and again, those are embedded in our thoughts about our operating income outlook for the year.
Andrew Hall: Okay, thanks for that. And just a follow-up to that, I think you said it's well-documented that inland transportation costs in U.S. are pretty high right now. How does that impact your ability to get price? Or does that allow you to push price with some of your customers, just given the higher transportation costs, I guess in those contracts? Should cost go up for you here in the U.S.? Are you able to kind of push that through to your customers?
Matt Cox: Yes. The dynamics are a little different in each market but I can say that as we are very mindful of the increasing inland transportation costs and we are making sure that our contracts include increases in trucking allowances and inland delivery allowances. So we do not expect any erosion in our margin from increases in pricing. And the other note I would make generally Andrew, is a Matson likes to say when there is a disruption in the market that Matson tends to do well in that market. So the fact that we own our own chassis fleet, the fact that we own our own containers, that we have significant operating control over both our terminal assets and very long-term relationships with trucking providers allows Matson to shine when others might have disruptions and shortages. So it just continues to lend credence to this highly differentiated service product.
Andrew Hall: Got it. Thanks for that. And just one more and I'll turn it over. In Guam, you guys have been in a market share battle for several quarters now. And I understand for competitive reasons, you're kind of limited on what you can or will say on that. But I guess high level wise, do you think we're nearing a point where the market share there should begin to kind to settle out? Or do we still have a way to go before we reach that point?
Matt Cox: Yes. It's a great question. It's hard to know, I mean it continues to feel like we're in an axe fight and we'll continue that until it stops and exactly when that occurs is really kind of up to our main competitor. So I will leave that for them to answer but this is a long-term important market for us and we're dug in here to continue both with service and other advantage to retain the role as the market leader.
Andrew Hall: Got you. Thanks for the time, guys.
Matt Cox: Okay, Andrew. Thanks.
Operator: Our next question comes from Ben Nolan with Stifel.
Ben Nolan: Yes, thanks. Hey, Matt and Joel.
Matt Cox: Hi Ben.
Ben Nolan: So I have a handful of questions. On Logistics, obviously, things are moving along pretty well. You’d guided to expecting for the second quarter, the numbers to be a little better than they were in the second quarter of last year. Although that already represents a pretty strong improvement over what you guys did this previous quarter. Is there – how much does seasonality play a role in that? I assume there is some with Span Alaska in particular. But is that the preponderance of the difference, just seasonal shifts?
Matt Cox: Yes. I mean I think you're seeing two things. I think you said it right Ben, the big difference in our Logistics business with the bolt-on of Span Alaska is the majority of the business that's done is during the construction summer season, which are the middle two quarters of the year. So some of the increase in is related to that but we're not just counting the fact that we see – we feel like we're in a different truck market and rail market, there are shortages. A lot of logistics providers are taking this opportunity to look at their books of business and look where their margins have been made too thin and repricing things to earn an adequate return on the move and we've done the same thing. So this market has really allowed for some reset of pricing to I think, which are more sustainable levels. So it's a combination of the two that caused us to think the second quarter will – to the comments we've made for the second quarter in logistics.
Ben Nolan: Okay. That’s helpful. And then on SSAT obviously, it was their blowout quarter and I know part of that was one-time in nature but part of it doesn't seem like it was or it seems to be a bit more sticky. Is that – and volumes weren't tremendously up – what do you really attribute the improvement in margins in that business? Is it just sort of now you're kind of in your sweet spot and are able to sort of maximize your margin on a relatively otherwise kind of static volume basis?
Matt Cox: Yes, you're right in saying that part of it was one-time, we call that out related to this dissolution of our Pier A joint venture with a subsidiary of MSE. And part of it was to ongoing – we think ongoing volume increases that should we expect to remain and be part of the SSAT story moving forward. And the only point I would make on the margin about SSAT is a point we've made before which is this business is extremely sensitive to changes in volumes. That once you get over a relative breakeven, every additional container you bring over the terminal provides an increased or an excess margin because of the large fixed cost nature of the terminal operating business. So because SSAT is a proven leader, as we’ve said many times people want to use the SSAT terminal. They're the best operator on the West Coast. That incremental volume allows us to drive excess margin out of that business, which as you point out, we think is sustainable.
Ben Nolan: Okay. That's helpful. And then lastly and I appreciate that your eastbound volumes from Hawaii aren't too big of a revenue driver. But you mentioned that they were down a little bit. Is there anything to add? Or shifting and competition for eastbound cargo was just a kind of quarterly thing? How should I think about that?
Matt Cox: Yes, I mean we are obviously very focused in all of our trade lanes on our market share and our market position. The eastbound trades, that is, the backhaul trades from Hawaii, back to the West Coast are episodic, we looked the decline. We didn't think there were any shifts in market share and we know and again, nothing for us to believe we have to worry about. Again, just more onetime in nature.
Ben Nolan: Okay, that is helpful and I appreciate the answers and as I said before, nice quarter and nice to be back sort on the beat and trace track here.
Matt Cox: Okay, great thanks, Ben
Joel Wine: Thanks Ben.
Operator: Our next question comes from Stephen O'Hara with Sidoti.
Stephen O'Hara: Hi good afternoon.
Matt Cox: Hi, Steve.
Joel Wine: Hi, Steve.
Stephen O'Hara: Just relative to the, I guess the improvement in guidance. I'm just wondering is the full year outlook, I know you're raising your full year outlook but relative to where the outlook was before, is it higher than it was? Or is it more the one quarter – the first quarter was a little bit better and that was kind of most of it at this point and I'm not saying that the rest of the year is necessarily worse but maybe you're not ready to go there yet I guess?
Joel Wine: Yeah, Stephen it is Joel. It's both, we had a good first quarter business and trade lanes on the Ocean Transportation and logistics performed well. And so also there were positive trends that Matt commented on in most of our businesses. And so it's both – it's really us raising the outlook for the years in a combination of good first quarter and those trends continuing Q2 to the rest of the year.
Stephen O'Hara: Okay, alright. Just on the outlook for China and Guam, can you just say – as far as your commenting today, those outlooks haven't changed just relative – they were kind of, that was your expectation coming into the year. Is that correct? Or have things gotten worse in those markets?
Matt Cox: Yes, Steve this is Matt. I think as it relates to both China and Guam, what we're expecting – the markets are both shipping up about like we expected. We don't see any dramatic improvement nor do we see any significant reduction from our internal expectations for the quarter. It continues to be an axe fight in Guam and China is shaping up where we expect to earn a very strong premium demand. Our ships are going to be full between now and the end of the year. And it's beginning to look like kind of a normal peak season and so all of those are consistent with their expectations previously. The improvements as we noted were in SSAT and we're encouraged by potentially a flattening of Hawaii volumes, terrific performance at Matson Logistics and Matson Logistics and Alaska is off to a strong start. So those were the way we're framing how we are thinking about it, between now and end of the year.
Stephen O'Hara: Okay, thank you very much.
Matt Cox: Okay, Steve thanks.
Operator: [Operator Instructions] Our next question comes from [indiscernible] with Wells Fargo.
Unidentified Analyst: Hey, guys thanks for your time. Two quick questions. I guess with the Alaskan trade, I think you mentioned that if you normalize for those dry-dock volumes that you could be flat year-over-year. And so I guess the question is, did you expect to retain kind of that incremental market share or is that something we can kind of expect to kind of return to normalcy?
Matt Cox: This is Matt. There are two ways to look at that. The first is what we were trying to drive was what was the overall frame of the market when we deducted those onetime expense – market factors. And so our expectation is with respect to share that it is relatively stable, that is the volume that we carried for TOTE during their dry-dock period. Once their vessel out of dry-dock, which ended right around the end of the first quarter, that volume that we carried on TOTE's behalf returned to TOTE. So we are not saying there's a permanent shift but it is related to their out of service period. That's what we're trying to say about it.
Unidentified Analyst: And then with the logistics segment, I think you touched on this briefly but we've noticed that this has been an open area of focus, you’ve committed that the new management team in that segment. Is this kind of – are we kind of in an early cycle of achieving that stability and growth for should we expect that this is kind of the result of the general supply tightness? And if that's the case, should we expect that to kind of give back once the market resettles? Or I guess if you could kind of describe what your main contributor to growth in that segment? Where are you guys placing that?
Matt Cox: Sure, yes it is a combination of several factors. The first is, Matson has been in this business for over 25 years, it's complementary to our correlation services. That part we expect to remain. We see – the second factor is the recent acquisition of Span Alaska, which provided a new earning base that is highly complementary and additive to the core rail, truck, brokerage, warehouse, other businesses that comprised Matson Logistics. We also do see that tightness in the general market as I mentioned earlier causing a reset of pricing to ensure that there actually is capacity to carry the loads that have been asked by our customers. We see that as healthy. We also do see longer term that this business continues to be scalable. We're looking for ways to grow organically in that market and we do believe that there's a significant growth into the foreseeable future in this segment. So some of them to the extent that they are market factors that will tend – could recede partially and it's too early to call when that would happen. That may be one element but there are three or four other factors that we think continue to drive growth in core income and value there as well.
Unidentified Analyst: Great, thanks guys.
Matt Cox: You bet.
Operator: [Operator Instructions] And I'm not showing any further questions at this time. I'd like to turn the call back over to Matt Cox for his final remarks.
Matt Cox: Okay operator. Thank you. Thanks everyone for listening in. We look forward to catching up with you at the next quarterly call. Aloha.
Operator: Ladies and gentlemen that concludes today’s presentation, you may now disconnect and have a wonderful day.